Operator: Good morning, and welcome to the Plymouth Industrial REIT Conference Call to review the company's results for the third quarter of 2024. Please note this event is being recorded. I would now like to turn the conference over to Tripp Sullivan of Investor Relations. Please go ahead.
Tripp Sullivan: Thank you. Good morning. Welcome to the Plymouth Industrial Realty conference call to review the company's results for the third quarter of 2024. Yesterday afternoon, we issued our earnings release and posted a copy of our prepared commentary and a supplemental deck on the quarterly results section of our Investor Relations page. In addition to these earnings documents, a copy of our 10-Q, when filed, can be found on the SEC filings page of the IR site. Our supplemental deck includes our full-year 2024 guidance assumptions, detailed information on our operations, portfolio, and balance sheet, the definitions of non-GAAP measures, and reconciliations to the most comparable GAAP measures. We will reference this information in our remarks. With me today are Jeff Witherell, Chairman and Chief Executive Officer; Anthony Saladino, Executive Vice President and Chief Financial Officer; Jim Connolly, Executive Vice President of Asset Management; and Anne Hayward, General Counsel. I'd like to point everyone to our forward-looking statements on page one of our supplemental presentation. We encourage you to read them carefully. They apply to statements made in this call, our press release, our prepared commentary, and in our supplemental financial information. I'll now turn the call over to Jeff Witherell.
Jeff Witherell: Thanks, Tripp. Good morning, and thank you for joining us today. I'll hit a few highlights first, and then we'll go to Q&A. We've made some big announcements in the past few months relating to securing capital that can propel our growth. Late August, we announced the strategic transaction with Sixth Street. I view this as transformative for us in several respects. Most notably, we put a valuation marker on our largest portfolio with the Chicago recap JV and sourced capital for up to $500 million in acquisitions. We secured a tremendous partner in Sixth Street, who has continued to build out their real estate platform. We also significantly enhanced our borrowing capacity with this month's refinancing and upsizing of our unsecured facilities to $1.5 billion. With this increase in the revolver and recasting of one of the term loans, we've extended our maturities and enhanced the ability to pursue other unsecured debt. The combination of Sixth Street and the additional borrowing capacity solves our current capital needs. Our focus for the balance of this year and throughout 2025 is on our leasing opportunities and putting the capital to work. That's what you can expect to hear from us in the next several quarters. Our earnings release and prepared commentary outlined a few tenant challenges we faced during the quarter that we did not anticipate. We are confident that we will work through these and get the spaces leased. We've always done a great job of keeping our buildings well leased, and we expect that Plymouth will have a greater exit velocity and momentum wrapping up this year. That will set us up for a strong 2025. We're off to a good start on the acquisitions. We have another portfolio under contract in Cincinnati that we're excited about. Our pursuit pipeline is over 11 million square feet and over $1 billion in size, with nearly all of the opportunities located in our existing markets. We know these markets well, and we now have the capital to expand our scale. I look forward to providing more updates over the next several months on how we're progressing with the leasing and capital deployment. I would now like to turn it over to the operator for questions.
Operator: We will now begin the question and answer session. Please pick up your handset before pressing the keys. The first question comes from Mitch Germain with Citizens JMP. Please go ahead.
Mitch Germain: Good morning. So, Jeff, maybe just talk about some of the issues that arrived. I mean, I know you have them in your prepared comments, but I think last quarter you mentioned an issue in Cleveland that was unanticipated, but it seems like now you have some other vacancies that we realized. Were they unanticipated, or was the lease delayed? Can you just maybe describe in a little more detail about those different situations?
Jeff Witherell: Yeah. Sure, Mitch. Jim Connolly is here. You know, he heads up asset management, so he's got all the detail on that. So we'll let him walk you through it.
Jim Connolly: Starting off with Cleveland, we had two issues. One at 2100 International Parkway with a tenant who was up to date through Q2 on rent but abruptly laid off all his employees and informed us they couldn't pay rent. So we evicted them effective September 30 and have taken legal action against them for whatever rent they owe us and in future rent. At the end of Q2, we were pretty far along with a half-building user, but they put that deal on hold. However, now we're really far along with a full-building user that wants to take the building at the beginning of 2025. So, I mean, we acted pretty quickly and got a tenant identified. We also have a backup tenant for that building should that deal not go through. The other building in Cleveland is 1350 Moore Road. The tenant was current as of Q2. However, it became clear that their business was not going to be viable going forward. We started the eviction process. This all happened very quickly. The tenant left a bunch of equipment and inventory behind that had to be cleared out, which cost us approximately $500,000 to clear up. We had a replacement tenant that was executed and is currently in dispute due to prior tenant interference. We still need to resolve this. We are pursuing legal action against the prior tenant and trying to rectify the situation with the new one. We are also pursuing new prospects that we have lined up for next year should our current lease not be rectified. I want to point out on vacancy, really, it's not a bunch of new vacancy. There's a St. Louis property that we've talked about all year that just went vacant in July, and there was the Chicago property that's been vacant. If you exclude those two, we only have a 2.7% vacancy. So it's really just those two leases that drove the Q3 vacancy.
Mitch Germain: Okay. Thanks for the clarification. Thinking about some of these tenant issues, I know that it appears that they weren't exactly things that were on your watch list prior to identifying them, but are you spending a bit more time engaging with your clients to gain a better sense of their respective businesses to identify what other issues could arise?
Jim Connolly: Yes. We are constantly doing that. In this case, I think we moved swiftly to eliminate a long protracted problem. And we've been working with all our tenants.
Jeff Witherell: Mitch, I think we've been on this for seven years about this. Right? We built a vertically integrated platform, manage about 75% of our own properties in-house, and engage with our tenants on a daily basis. This was something that came up very swiftly. It's not a portfolio-wide issue. And as Jim alluded to, we are backfilling these very quickly.
Mitch Germain: Okay. Jeff, anything you could share about the Cincinnati portfolio?
Jeff Witherell: Yeah. It is about $40 million. It's a multi-tenant. I think it's going to come in at a pretty good yield. I think we're going to like the yield on it. And it's got the growth that we're looking for, similar to Memphis.
Mitch Germain: Is that going to close prior to year-end, or do you anticipate it right around then?
Jeff Witherell: I believe it will close before year-end.
Mitch Germain: Okay. And then maybe just provide some perspective on, I think, what you said about a billion-dollar pipeline. Eleven million square feet, was that? That is correct. Yeah. Can you elaborate on that? Is it one-off? Is it portfolios? And then to the extent, obviously, you've got about, if we net out the $40 million purchase, you've got about $450 million or so of dry powder from the recent transaction that's closing. So, I mean, what's the potential to grow Sixth Street as well to maybe unlock some additional growth?
Jeff Witherell: Yes, to all that. Certainly, there are three portfolios in there. Again, I don't know where these go. I mean, we're actively negotiating, so we'll see. One portfolio would be on balance sheet, have another one that would work as a JV. And that's mostly a geographic concentration. As well as, you know, if it's got the value-add component, we don't want to bring it on balance sheet, the same reasons we've done JVs in the past. Right? So we have that identified. There's a lot more one-off deals that are popping up in our markets. And then just small portfolios, $15 million to $20 million portfolios. So it runs the gamut. Again, we look for some good starting yield, but we're also looking for growth. So that's the mandate. So we're pretty excited about our existing footprint. We've got some, as I think you alluded to before, a couple of deals in Texas we're looking at. So that would be a market that we've always wanted to get into. We'll see how that plays out. So, yeah, I mean, Sixth Street is there with plenty of capital. It's really just putting the deals together.
Mitch Germain: Thank you.
Rich Anderson: The next question comes from Rich Anderson with Wedbush. Hey, thanks. Good morning. Maybe just to put a finer point on Mitch's question. In the case of 2100 and business not viable in the case of 1350, maybe I don't know what those businesses were, or maybe I don't want to know, but I'm curious as to what the learning event is from this in terms of just sort of monitoring credit, monitoring industries that you're exposed to, and if there's anything that you take from this that you look throughout your portfolio and say, we've got to give something here or there a second look and make sure that we're protected. Any comment around that topic?
Jim Connolly: Yeah. I mean, obviously, both of these industries were feeling new industries. One was at 2100, was an online retailer that had some sort of new system that was going to improve everybody's online ordering, but it didn't really pan out. Everybody used different sources. And we kept them. I mean, they were in there for a couple of years, and they were always current on rent. And we made sure that all of our investment, our commissions, and tenant improvements were paid back. We had a letter of credit that covered all that. So we didn't lose that investment; we lost on the future part of it. And the other tenant is refurbishing windmill furniture. So it's a business with a viable plan, but it just is in its infancy. And they were current for a couple of years as well. So I would say moving forward, we would definitely not pursue these new types of transactions without a larger backing financial support.
Rich Anderson: Okay. I guess you never thought of sitting on a windmill. I guess now I am thinking about it. The second question is that the marker on the Chicago cap rate with Sixth Street of 6.2%. That would you agree, not to be a cynic here, but would you agree that that number was influenced by the fact that there is also the preferred and there were also the warrants? Like, in the absence of those other elements of the transaction, would that 6.2 really have been 6.2, or would it have been something greater?
Jeff Witherell: Well, Rich, this is Jeff. I think it's, I mean, Sixth Street wouldn't have done one without the other. Right? I mean, I think this is a transformative transaction. They underwrote the entire company. They looked at, they physically looked at over 75% of our assets. So they're backing Plymouth, if you will. But as far as the portfolio is concerned, and this is where I'll go back to this and continue to pound the table as I've done for the last six months. There have been a number of trades out there of like-kind properties to Plymouth. Portfolios of anywhere from 5 million square feet to 14 million square feet that have traded between 6 and 6.5 cap. That's the marker. So again, we have 35 million square feet of property at a great basis. And, you know, we're going to get all this product leased as we always do. All of us in this room have been in the business for at least 20, 25 years. And I think when you cap our NOI next year, you're going to be right back into a great NAV Calc based on those comps. I mean, we're in the market every day looking at portfolios, and we're getting outbid because people are paying, you know, 6, 6.25 caps for this stuff. So I stand by that.
Rich Anderson: And then, Rich, can I just...
Jim Connolly: Rich, one follow-up to Jim's commentary with respect to 1350 Moore? This tenant was on the watch list. We were working closely with them to potentially recapitalize their business, and as a contingency plan, we sourced, identified, and fully negotiated with a new tenant at a 27% positive spread to expiring rents. That's the tenant that Jim mentioned with respect to the lease-up, and now there is some legal contention. But ultimately, that will be sorted out here in the near future. So I don't want the takeaway to be that we haven't been acutely focused on tenant health. We have been. These tenants, in particular, were closely watched. I think what we were surprised by was the velocity of change. But to Jim's point, we moved quickly to vacate a tenant that wasn't going to pay rent, sourced, identified, and prepared the space to accommodate a new tenant at a substantially improved rental rate.
Rich Anderson: Very good. Thanks for that. And then the last question for me. You mentioned, you know, NOI next year. I don't think you're going to give guidance, but there's a lot of movement here. Right? You have Chicago, you have Cleveland, Memphis, the joint venture, and St. Louis, of course. When you net all that up, is there growth next year from the company? Or do you think that, you know, you've got to work some things out and sort of TBD that maybe the real number to look at would be the year following when everything is sort of, you know, addressed?
Jeff Witherell: No. I do believe that there is significant growth ahead. You know, we will get into it if anyone asks this question, but, like, in St. Louis, you know, we ran through a whole, I think we ran through over ten prospects, now have another group of prospects in there. I mean, I think if you look at the overall national vacancy rate, it's at 6.4%. Long-term average is 7%. You know, all the brokerages are telling us that, you know, they feel that 2025 is going to be an uptick. You know, construction, I think we're delivering about 300 million square feet this year. That's the lowest since 2018. So, you know, there was still 96 million square feet of absorption so far year to date. So there's still good things happening in industrial, and if you go to Memphis, we have a lot of opportunities to mark to market. I think we did tell people, but I'll reiterate it, that we started that out at an 8 yield over the next two to three years that probably gets us to a 10 yield. I think the Cincinnati portfolio is going to provide similar metrics. So, you know, I feel really confident that we get St. Louis leased up. As we've mentioned, these two properties in Cleveland have prospects there that we're working on. So I feel really confident that we're going to get some pretty good growth next year.
Rich Anderson: I agree. It's just a matter of timing. Right? You get something leased up, but it doesn't necessarily cash flow immediately is the main point that I'm thinking about. And just in cadence between 2025 and 2026.
Jeff Witherell: Yes.
Rich Anderson: That's all I got. Thanks.
Jeff Witherell: Alright. Thanks very much.
Operator: The next question comes from John Kim with BMO Capital Markets.
John Kim: Thank you. On your Memphis acquisition, you mentioned Accredo Health is leaving some of their space by year-end. Was that known previously? Because in the last call, you mentioned that 70% tenant retention on the portfolio.
Anthony Saladino: Hey, John. This is Anthony. Yeah. That square footage was a known vacate. There's about 100,000 of that that was previously a call center that we're converting back to more templated industrial space. We don't know if we're going to deliver two 50,000 square foot suites or a 100,000 square foot building. We're going through the diligence on that as we speak. And then there's another 33,000 square feet, again, previously occupied by Accredo Health. It has a higher office finish. It's an office-like building, and we're likely to divest that. In fact, that is currently under contract.
John Kim: Okay. And then Communication Test Design, they renewed or extended for you, which is what you have indicated. Are the chances that they extend past that year? And would that be at end market rents, or is there a prearranged rate?
Jim Connolly: There's not a prearranged rate. Obviously, it's a large space, so it would be at market or a slight discount to market because they're taking up a lot of space. But their contract, the reason why they wanted a one-year deal is because their contract has a one-year out on it with DIRECTV, I believe. And as soon as that extension date goes by, they will extend. Now if for some reason that contract didn't extend, they weren't this two buildings there. It's not one building. They would always need one of the two buildings, so they would extend on one of and the other one. So it's not likely that they're going to move out.
John Kim: In your prepared commentary, there was a mention of transitory vacancy. 487,000 square feet. Some of that was going to, sounds like it start in into 2025. Then there was worrying about executing leases on 70% of that space. So I'm not really sure if it's two sentences tied to each other. I was wondering if you could just elaborate.
Jim Connolly: There were some leases that we expected to start in Q4, start generating cash in Q4, that likely are going to start in 2025.
Anthony Saladino: So the 70% reference, John, was for leases executed but not commenced. But we'll see contribution from 70% of that transitory vacancy in early Q1.
John Kim: Oh, so when you say executed, that means occupancy. Not signing a lease.
Anthony Saladino: No, executed lease. They haven't taken occupancy, nor has rent commenced as of yet. We have a lease agreement that is drafted and signed.
John Kim: And then on your pursuit pipeline, I think the first time you used that wording of 11 million square feet. How much of that do you expect to eventually close?
Jeff Witherell: That's a tough question, John. We really don't know. I mean, we're so volatile when it comes to acquisitions and capital that we can't say a 10% closure rate. And if it's on the pipeline, it's really something that we could execute on. Right? So, you know, this is not product in California or somewhere that. This is product that's in our markets. I don't have a great answer for you to say that. But I will say that, I mean, we're actively negotiating over $300 million of acquisitions as we sit here today with LOIs.
Anthony Saladino: Yes, John, I think the way to look at that is that the pursued pipeline is a subset of the larger pipeline. And so there is a higher kind of confidence level around execution, but to Jeff's point, that's a difficult thing to specifically handicap.
John Kim: Yeah. Because I mean, last quarter, it was less than a million square feet. Now it's 11. It's a pretty big chunk. So I'm just wondering if you know how to do that.
Jeff Witherell: Well, I mean, we closed a Sixth Street transaction. Right? Which you never know that's a good deal like that's going to close until you get to the table and sign the docs, which we did. And so with that capital, you know, we now can put LOIs out and stuff like that. So capital's always the question. If you have it, you can be aggressive, and if you don't, you can't be. So that's the catalyst. The Sixth Street capital is the catalyst for us to have a much bigger pipeline that's actionable, not just to talk about it.
John Kim: Thank you.
Jeff Witherell: Thank you.
Operator: The next question comes from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi, thanks. Good morning. I wanted to ask about the NOI bridge or the FFO bridge that was provided in the prepared commentary, which was really helpful. Thank you for that. And sort of going back to Rich's question about earnings or NOI growth going forward, maybe just to confirm around the fourth quarter. It looks like the three-cent NOI shortfall, that's the piece that's not recurring. So your Q4 implied guidance is 48 cents to midpoint, 47 at the lower bound. Is that right? And is that how we should think about the exit rate into 2025, or when we think about some of the moving pieces around the Sixth Street transaction and other leasing and so forth, is there anything else that would weigh on FFO as we do think about, you know, sort of the run rate into 2025?
Anthony Saladino: No. I think your interpretation of the articulation of that bridge is accurate. You know, I think Jim mentioned we did have some one-time impacts, the most meaningful of which was a $500,000 cleanup fee essentially related to the tenancy at 1350 Moore.
Todd Thomas: Got it. So that includes now everything that's been announced, everything you know, and then some of the lease-up, some of the commencements, and some of the capital deployment, all of that should build off of the fourth quarter FFO run rate.
Anthony Saladino: Correct.
Todd Thomas: Okay. And then I just had a question about leasing in general and sort of the leasing pipeline and some of the discussions that you're having with tenants. You know, we've heard about longer decision-making time frames. And I'm just curious to get your take. With the election being behind us, does that improve leasing activity at all at the margin? Or is there still a bit of uncertainty or maybe more uncertainty and hesitation around, you know, maybe certain policies that might, you know, prevent leasing activity from picking up a bit? What's your thought process there? What are you hearing?
Jeff Witherell: So Jim will jump in here in a minute, Todd. But this is Jeff. You know, I think, you know, we were together four or five weeks ago. And, you know, after that, you know, the velocity of leasing really, really slowed down. Again, whether it's the election or whatever. But I think we were out four or five weeks ago talking to investors, and you know, we actually felt a pickup in activity. But the last three or four weeks, there's been a real slowdown.
Jim Connolly: I personally would think that is leading up to the election and, you know, possible rate cut today and so on and so forth.
Jeff Witherell: Jim, you want to add some color?
Jim Connolly: Yeah. Specifically in St. Louis, we had a couple of tenants that said they weren't going to make a decision until after the election. So hopefully, they get back to us in the very near future.
Operator: The next question comes from Brendan Lynch with Barclays. Please go ahead.
Brendan Lynch: Great. Thank you for taking my question. On the St. Louis asset, Jeff, you mentioned that you had got ten prospects, and now you have different prospects. Can you give any color on how that process is evolving and the new lease proposals?
Jim Connolly: Sure. A little recap of the St. Louis market. So there's approximately 3.8 million in the space available with the Edwardsville submarket and seven buildings, including ours. There are four leasing transactions that are nearing completion that would effectively take half of this space off the market. These are deals for various reasons that are not ideal for us. Pricing was low, and there are some hazard issues on what's being stored. So we're not expecting to close on these. However, we're still in the RFP process on those. However, if we don't ultimately close on one of them, that will leave only three buildings with space over 325,000 square feet in the market. One of these is only 326,000 square feet. So we are one of two buildings that can afford to use over 500,000 square feet. So what I'm getting at is we're really the only team in the market, and our building is new, and the other is 30 years old. So with all this pickup in the market and activity, I'm really confident that we're going to land a prospect very soon.
Brendan Lynch: Okay. Thank you. That's helpful. Some of your peers are also leaning more into occupancy over rate at present. Given the uptick in vacancy in the portfolio, can you talk about how you're trying to balance those two things as we go into 2025?
Jim Connolly: Specifically in Q2, our rent growth was a little lower. And partially to do because we had two renewals in Indianapolis and large tenants that took up additional space. Because they took on additional space, the rent decrease wasn't quite as high as they drove it down from where we were at, normally like 18% down to like the 12.2% that you see. So really, you know, we are factoring that into our yields. And in this case, we're working with tenants to expand and the cost to give them a rate discount if they do.
Brendan Lynch: Great. Thanks for taking my questions.
Jim Connolly: Thank you.
Operator: The next question comes from Anthony Hau with Truist Securities. Please go ahead.
Anthony Hau: Good morning, guys. Can you provide me a progress update on the remaining lead space at Lettie in St. Louis and the 16801 Exchange in Chicago? What's the interest level for these spaces right now?
Jim Connolly: Yes. We're really confident that the existing tenants are going to expand into either all of the 40,000 square feet left at Lettie or at least half probably by the end of the year. That's our time frame. And on Exchange, that building, there's been a lot of interest, but a deal hasn't come through. What we're doing is we've managed to get the taxes down quite a bit during the year through our appeal process, but we're also applying for 6b status, which requires the building to be vacant for one year, which it will be at the end of this year. And that will get us an additional 60% savings on taxes and make the building much more attractive going forward.
Anthony Hau: And then for the St. Louis building, if you guys can't find an attractive deal, at what point do you decide to redevelop it into a multi-tenant building? And what would the incremental return be?
Jim Connolly: Yeah. So, I mean, ideally, we want to not go beyond, we really want two tenants in there, one or two. We don't really want to go beyond that. It's easily divided into two. You get into three, you're going to have to put in more offices. So that's our objective is to keep it to one or two at this point.
Jeff Witherell: And that particular building?
Anthony Hau: Yeah. Yeah. I mean, that's the case with every building, Anthony. Right? This is Jeff. Some buildings are conducive to multi-tenant, and some are not. You know, so when you have a million square feet, you don't just break it up into ten bays or something like that. I mean, how are your doors, how is it sprinkled, you know, where the wastewater is, I mean, all these things come into play. If you have to start jackhammering concrete floors to put in pipes, that costs a fortune. So, you know, we're on that. That's something we're specialists at.
Anthony Hau: Okay. Just one last question for me. For the Cleveland spaces, are you guys expecting to receive rent payments through the eviction court?
Jim Connolly: We haven't factored it in, but we are expecting to get some compensation.
Anthony Hau: And how much would that be? And would you guys, like, receive it, like, year-end or, like, in 2025?
Anthony Saladino: I would not count on that, Anthony. Let us work the process, but from a modeling perspective and certainly from an accounting perspective, I would expect zero return.
Jim Connolly: Yeah. And we don't want to be talking on an open call about our legal strategy.
Jeff Witherell: Alright. But we're on it. This isn't our first rodeo.
Operator: This is the end of the question and answer session. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.